Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q3 2019 Universal Forest Products Earnings Conference Call. At this time all participants are in a listen-only mode. After the speaker presentation there will be a question and answer session. [Operator Instructions].After a brief moment of silence, I will turn the call over to Brandon Froysland, Director of Finance.
Brandon Froysland: Welcome to the Universal Forest Products, Incorporated third quarter 2019 conference call. Hosting the call today are CEO, Matt Missad, and CFO, Mike Cole. Matt and Mike will offer prepared remarks and then the call will be opened up for questions.This conference call is available simultaneously and in its entirety to all interested investors and news media through our webcast at www.ufpi.com. A replay will also be available at that website through November 24, 2019.Before I turn the call over to Matt Missad, let me remind you that yesterday's press release and today's presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995.These statements are subject to risks and uncertainties that could cause actual results to differ materially from the Company's expectations and projections. These risks and uncertainties include, but are not limited to, those factors identified in the press release and in the filings with the Securities and Exchange Commission.At this time, I'd like to turn the call over to Matt Missad.
Matthew Missad: Thank you, Brandon, and good morning, everyone. Welcome to our third quarter 2019 Investor Call. Fall is in full swing for sports enthusiasts with Football, the World Series, Hockey and Basketball.The spirit of competition, the desire to be the best you can be and the motivation that each competitor has to make his or her team better fuels the excitement of sport. Is it that same spirit that drives each member of the UFP family of companies around the globe.Our goal this year was to be exponentially greater than before and I am excited and honored to say that through the first three quarters of 2019 our team has excel. Once again they have delivered exceptional results setting records and profit and earnings per share while growing sales units by 7%. I want to thank them for their outstanding performance.We are so driven to improve. We not only will be pushing to finish 2019 strong, we are also positioning the company to achieve even more in the future. I'll talk about the future in a minute, but first let's do a recap of the third quarter.Overall sales dollars were down 4% for the quarter to $1.18 billion. We are pleased that our unit sales increased 7% overall. EBITDA for the quarter was up nearly 24% to $89.7 million. Year to-date EBITDA was $246.4 million versus $202.3 million in 2018.The bottomline focus resulted in terrific results, as we reported earnings of $51.9 million or $0.84 per share versus $0.66 per share in 2018. New product sales were $142.9 million for the quarter.Year to-date new product sales are $428 million which is 1% above the year-to-date budget. Our dimensions project panels as well as the Deckorators decking and railing are just a few of the growth products.As you know we use gross profit dollars per unit as a tool to measure performance because it takes out the lumber market pricing as a variable. We were very pleased that our gross profit dollars grew by 18% more than double our unit sales increase.Now, I'd like to discuss our individual markets starting with the overall lumber market. The southern yellow pine lumber market was fairly stable until September and finished the quarter, up $17 per thousand board feet over the quarter two ending value.Random length composite index followed a similar path, up $24 over quarter two ending value. Both indexes have tapered off about $50 per thousand board foot so far in October. Our quarter end inventory values were 134.3% of September sales which compares to a 137.9% in Q3 of 2018.We continue to work the inventories down and we look for buying opportunities during the fourth quarter. The retail market saw excellent unit growth of 10%, while sales prices were down 1.1%. A few drivers and retail were the increased sales of our Deckorators products in decking and railing which continue to take market share.We now have over 500 certified Deckorators installers and we'll continue to find more professionals who love the ease of installing our Deckorators products. We also saw good unit sales growth with our big-box customers as well as our independent retailers with our ProWood products and our Outdoor Essentials products.We continue to drive our extended product line to independent retailers. In the construction market we report a steady growth overall with unit sales up 8%. Our backlog has increased for site-built components and we continue to add capacity in the markets we served.Manufactured housing was slower in the third quarter, while RV is not a significant part of our overall business, it did show a decline in shipments. We continue to promote value-added items rather than just driving topline revenue, which help drive better gross profit growth. Concrete forming also grew nicely in the quarter.In the industrial market, unit sales were up 4% for the quarter. This is a lower increase than expected. However, we are executing our strategy to increase our value-added sales and deemphasize commodity type sales. In spite of the less than expected growth our overall profitability improved.Our capital allocation strategy targets acquisitions at reasonable ROI based values first followed by greenfield growth and automation and efficiency projects. We have several acquisitions in the pipeline.As a reminder, our focus areas for acquisitions include industrial targets which help us achieve our objective of being the global packaging solution provider, new products and brands in our retail market and new products and services in our construction market.In order to meet our desire to be the low-cost producer and to grow our businesses, we expect increased capital expenditures including automation for the foreseeable future. As always we intend to use the remainder of capital generated for cash dividends and opportunistic share repurchases.Even with an outstanding quarter like we just had, we've recognized that we have areas of improvement which could yield even greater results in the future. For example, several other operations are below their budget for operating profit. As always, we continue to work with these operations to make improvements necessary to get them at and above their target.Core SG&A increased 6.1% in line with unit sales growth, a decline as a percentage of gross profit of 49.8% compared to 55.4% last year. This is a very good trend. Production labor also remains one of our biggest challenges, recruiting and retaining employees is critical.We continually look at better ways to meet the challenges our employees face from benefits to transportation and we strive to become an employer of choice in the locations in which we operate.Our goal is to provide our employees with the solid long-term future with many opportunities for individual growth. These opportunities for growth include the exciting new structure we will implement in 2020.This new structure organized by markets and business units instead of geography will create a better focus on our customers needs and positioned our facilities to get more in-depth with the markets they serve. We expect the innovation, faster product to market execution and more market intelligence.These changes will help our talented teammates to excel with their customers and enhance their ability to be the experts in their field. We believe this will help us grow faster and more profitably in the years ahead.Now, I'd like to turn it over to Mike Cole, who will provide more details on our financial performance.
Michael Cole: Thanks, Matt. I'll start with the lumber market. Lumber prices were down nearly 25% this quarter, which reduced our selling prices and sales dollars. Fortunately, the level of lumber prices has little impact on our profitability which is primarily driven by unit sales, value-added sales mix and operating leverage, all of which continued strong trends into Q3.Lower lumber prices also reduced our investment working capital, which has contributed to our strong cash flow for the year. Moving to the income statement, overall unit sales for the quarter increased 7% with all markets contributing to organic unit growth of 6%. Acquisitions contributed 1% to unit growth this quarter.New products continue to be an important driver for growth than margin improvement and we're pleased to report new product sales and gross profits were up 7% and 28% respectively for the quarter.For the year, new product sales were up 12% and we're on pace to achieve our annual goal of $525 million. Breaking down on sales by market, unit sales to the retail market increased by 10% organically. This growth was primarily due to our Deckorators branded product sales, new product sales and an increase in demand in several existing product lines with the big-box customer.Moving on to the industrial market, unit sales to these customers increased by 4% with acquisitions contributing half of the growth, organic unit growth was 2% which was comparable to Q2 with somewhat lower than the mid single digits we achieved in earlier quarters.This appears to be due to a combination of softer demand with existing customers and our emphasis on bypassing commodity sales to focus on value-added sales with better margins. Sales to new customers totaling almost $10 million drove our growth this quarter.Overall unit sales to the construction market increased 8% organically. Within the construction category unit sales increased 15% to commercial construction customers, 6% to residential and 1% to manufactured housing, strong unit growth to commercial was primarily driven by IDX and gaining market share with a handful of existing customers primarily in the Texas region.Moving down the income statement, third quarter gross profits increased by $29 million or 18% surpassing our 7% growth in unit sales as our profit per unit improve. The overall gross profit increase was comprised of a $14 million improvement in the retail gross profits and the $11 million increase in industrial.The remaining increase in gross profit was primarily related to more favorable labor and overhead cost variances. In general, the primary drivers for our increase in profitability continues to be value-added sales mix improvements, strong organic sales growth and leveraging fixed costs and lower lumber costs on sales as fixed-price products.We also had a more favorable lumber market trend in 2019, which resulted in a better profit per unit on sales of variable price products. Continuing to move down on the income statement, SG&A expenses included almost $23 million of accrued bonus expense compared to a little over $14 million last year.SG&A excluding bonuses was $93 million for the quarter, which was about $1 million lower than last quarter and $3 million below plan. Our accrued bonus expense increased by almost $9 million due to the increase in our pre-bonus operating profit and a higher bonus rate as a result of the increase in our return on invested capital.As we mentioned last quarter, we're focused on lowering our SG&A as a percentage of gross profit which mitigates the impact of lumber prices on sales and compensates for our favorable change in sales mix of more value-added products.We're pleased to report our SG&A as a percentage of gross profits dropped from 55% last year to 50% this year. Driven by these positive factors our operating profits increased 24% and our EBITDA increased 23% for the quarter, again, well in excess of a 7% increase in unit sales.Moving on to our cash flow statement, our cash flow from operations for the year totaled $198 million and was comprised with net earnings and non-cash expenses totaling $195 million and a $3 million increase in cash flow due to a decrease in working capital since year-end.The decline in working capital is primarily due to a combination of selling through opportunistic purchases and the resulting build-up of inventory from the fourth quarter last year and lower lumber prices this year.We measure our cash cycle to assess our working capital management and for the third quarter it had increased slightly to 52 days compared to 51 days last year. Investing activities consisted primarily of capital expenditures totaling $66 million including expansionary CapEx of almost $22 million.We believe we'll spend between $90 million and $100 more this year on currently approved projects. Notable areas of spend include projects to replace our capacity in South Florida resulting from the sale of a Medley facility last year, expand capacity and enhance the productivity of our Deckorators decking product line due to favorable demand trends and share gains we've achieved and several projects to expand manufacturing capacity to serve industrial customers and achieve efficiencies through automation.We've also spend $39 so far this year to acquire Walgreen wood, Northwest Factory Finishes and the remaining 50% interest owned by our partners in the United Lumber and most recently Pallet USA.Financing activities primarily consisted of $39 million in net repayments on our revolver and $3 million in payments on other debt. We also paid over $12 million in dividends in June at a semi-annual rate of $0.20 a share and 11% increase over last year.With respect to our balance sheet and capital structure, our net debt was about $99 million at the end of Q3 compared to $191 million last year. The strength of our cash flow generation and balance sheet provides us with plenty of capital to grow or return to shareholders.Our highest priorities for capital allocation are currently capital expenditures and acquisitions based on opportunities and the strength of potential returns we see. But we always seek the highest return for investors, so we'll adjust and allocate more to dividends or share buybacks if circumstances change.That's all I have in the financials. Matt?
Matthew Missad: Thank you, Mike. Now I'd like to open it up for any questions you may have.
Operator: Thank you. [Operator Instructions]. Our first question comes from Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Good morning, Matt, Mike and congrats on a good quarter.
Matthew Missad: Good morning Ketan. Thank you.
Ketan Mamtora: First question, just starting off with the strong organic volume growth that you also saw especially in retail and you have highlighted Deckorators, but anymore -- I'm just curious kind of know where you are seeing strength as a particular kind of regions, end markets, any more color you'll can provide on that would be helpful?
Matthew Missad: Yes. That's a good question, Ketan. I think what we've noticed is particularly on the ProWood product line. This past quarter it was pretty well across the country we saw solid growth. I think part of that customer's desire to increase their market share. So they improved a lot of unit sales. So that would be the other area in addition to Deckorators that I would say. But I don't think it was limited to any specific area. It was fairly broad based.
Ketan Mamtora: Understood. And then, just turning to this kind of detail two point or what you are seeing out in Europe. Are you starting to see more number come in from Europe? And then, I'm just curious if there are any differences in terms of end market applications for European number?
Matthew Missad: Yes. As we've look at there are some more opportunities for European lumber today, lot of it is price driven as you know and I think part of that ability we have in terms of our international sourcing capabilities really help us to use that. There are some different end markets. There are some substitutions for particularly kind of the SPS species, so that does create some opportunities out there and we are noticing at least more recently here there's an opportunity for us to continue to expand that.
Ketan Mamtora: And Matt, are you seeing more lumber come in from Europe?
Matthew Missad: Yes. I couldn't quantify it for you, Ketan, but I do think there is – they're getting more aggressive from a sales standpoint. So I think they're looking for opportunities to move more product which is always a good opportunity for us.
Ketan Mamtora: Okay. That's helpful. And then just turning to throughout the industrial side, we've seen ISM manufacturing far below 50. Industrial production numbers haven't been great recently. I'm just curious what you are hearing from your customers in terms of kind of activity and order book?
Matthew Missad: Yes. I think what we're seeing is still pretty stable, still pretty steady. I think there are certain industries obviously that are less favored than others. But there's many growth industries still as they are declining industry, so overall balance is pretty good. And as we mentioned we're trying to deemphasize some of the commodity stuff and we're going to have some more value added stuff. So that's going to be one of the things we'll look forward to going forward just try to maximize profitability on each sale.
Ketan Mamtora: Got it. That's helpful. And then just last question from me. In terms of capital allocation, obviously the balance sheet isn't in great shape. You've talked about kind of internal opportunity that you'll have M&A, but I'm just curious, absent M&A and given where your balance sheet is, when do you think you get to a point where you say, what, we aren't getting any sort of great opportunities, it is probably time to return some cash to shareholders. I'm just curious how you'll are thinking about kind of cash on the balance sheet?
Matthew Missad: Yes. Very fair question. As we look at it, obviously there's a fairly significant deal pipeline out there. Lot of companies are looking to sell. We tend to be pretty judicious buyers. We don't try to over spend. So we want to make sure that we can acquire companies that will allow us to still achieve our return targets. Absence to that that create some opportunities to do more greenfield expansion, new product development and number of the other initiatives that we have or we think we can grow the company and provide more long-term value to shareholders.If it gets to the situation where we have so much excess cash and share repurchases don't good, I certainly will look at our dividend policy and figure out way to return more money to the shareholders. I don't think we're at that stage at this point. We're very comfortable where we are and having a lot of dry powder I think is a good thing right now.
Ketan Mamtora: Got it. And then just on that sort of M&A point, are you seeing easing in valuation multiples on the industrial side?
Matthew Missad: Yes. We haven't noticed it yet. I think there are certainly challenges there that we would expect that to be happening, but I think private equity and the kind of the relative cheapness of money out there is still – there's a people out there they are biding, I would call it irrationally. So we have to let that kind of flow through the market.
Ketan Mamtora: Got it. That's very helpful color. I have done it. Good luck in the fourth quarter and into 2020.
Matthew Missad: Thank you.
Operator: Thank you. Our next question comes from Steve Chercover with Davidson.
Steve Chercover: Thanks. Good morning everyone.
Matthew Missad: Good morning, Steve.
Steve Chercover: So, just with respect to the rebranding that you guys are proposing for 2020, how visible was it going to be to the outside world? For instance, once you officially presenting results by segment instead of geography, we'll be showing is the operating profit for retail construction in industrial?
Matthew Missad: Yes, Merry Christmas.
Steve Chercover: You want to give to us a little early, so we can start calibrating properly?
Matthew Missad: No, it can't be greedy [ph]. It's not even Thanksgiving yet so.
Steve Chercover: The ornaments are already showing up in stores, but I'm not. How do you guys feel about your markets today as compared to this point last year, I mean, obviously there's a lot of hand-wringing about the economy, but I never hear at your body language and I think the sentiment towards at least the residential part of the economy is improving. So maybe you can give us your feel?
Matthew Missad: Yes. We still feel very good about where we are and we still are looking at basically steady continued trends. We don't see anything out there. I mean, obviously there is long term figure, there's going to be some kind of slow down at some point. But right now things look pretty good and we're very optimistic about that. As I mentioned, we're seeing some increased lead times in the markets we serve anyway. And again, as we talk about there's regional differences and I think people get ahead and see if they look at just the national trends on certain things. They don't compare them to where our operations are regionally. So right now I think we feel very good about where we are.
Steve Chercover: Okay. And last one from me. The lumber market at this point last year were in pretty sharp at three and now they seem to be slowly strengthening. So, do you think you'll get a chance to do the kind of opportunistic buy that was so beneficial in Q1 of this year?
Matthew Missad: It's always hard to say. I think right now last few weeks we've noticed trend line as I mentioned that is actually a slight retreat. There's actually very little gap right now between for kind of random length composite pricing index, it's much more narrow. There are still some room for the southern yellow pine market between where it was a year ago and where it is today. We're still below that. So I think there maybe opportunities here. We just kind of have to wait to see, but I really have a lot of confidence in our purchasing group and their ability to source products and to position us well. So I think we'll be okay.
Steve Chercover: Great. Thanks Matt.
Operator: Thank you. And our next question will come from Reuben Garner with Seaport Global.
Reuben Garner: Thanks. Good morning, everyone.
Matthew Missad: Good morning, Reuben.
Michael Cole: Hi, Reuben.
Reuben Garner: So let's see, maybe we can start with the – you talked about the reorganization or the rebranding efforts and then Matt, you mentioned having some businesses that maybe aren't operating. I think you said that the targeted profitable levels, can you elaborate more on those two items and how -- it sounds like the first one is more top line driven, the second one it sounds like you got some things that you can do to improve margins in some of your businesses, can you elaborate a little bit and maybe is there any way to quantify what you think the benefit could be from either those initiatives?
Matthew Missad: Sure. Yes, I think starting with what we're looking forward to is our 2020 structure and that's the organization by segment and by business unit. But we think that will help us due as I mentioned it was to be quicker to market trying when new product initiative getting the products ready for market and then getting them to market still face fair amount of time and then once we get them ready and into the market being able to scale them across our infrastructure throughout the country and hopefully throughout the world takes a little more time than it should today.So we think that we'll be a move that process much quicker from launch to scalability than it is today, that we're excited about that part. And then we'll also allow our team to actually be the experts. Right now there are spreads in a lot of different areas over thousands of the different SKUs and products and trying to keep up with all that. So by specializing we think we'll be a serve our customers better and understand their market and their needs better. So we're excited about that part.With respect to budget to actual performance, as you know each one of our operations is its own business and they have their own bottom line responsibility and as its typical not everyone of the operations exceed their budget and we spend our time trying to work with those that are below budget and then trying to get them back up the budget and while there's not a lot of them. I can't really quantify the aggregate number, but for us it's meaningful and significant and we want everybody to be at or above their budget for the year. We weren't there last year. We're not there this year. But we're improving. We still have ways to go and so our goal is to get everybody above budget and if we can do that that would be a significant improvement in our overall performance and results.
Reuben Garner: Thank you, Matt. That was helpful. I guess the reason I ask the latter part of the question was I don't recall you kind of -- and maybe it's just that memory, but I don't recall you call him that out with force. But we just kind of continuous improvement type things or a new initiative or something you guys are working on, so that's why I ask the question.But anyhow, maybe -- [Indiscernible] to go quarter with asking about Deckorators you know 10% volume growth to the retail segment, I think you said in the press release that it was -- that a lot more it were largely driven by Deckorators. Can you give us anymore color, little bit surprising I thought the load-in kind of took place in the second quarter. Is this a continuation of the load-in? Is it new business that you're winning? What's driving it and what kind of expectation should we have going forward? Is that's a pretty big number?
Matthew Missad: Yes. I think if you look at the two big components for me were the Deckorators growth and the ProWood growth. And I think as I look at Deckorators, as you may recall we really kind of loaded in probably in March and April. So this is a continuation of that reorders and other things and I think that's been solid. As we said before, I think we estimated roughly $50 million over the first full year in which we had the products that were still in the process getting to that level. With respect to the ProWood, it's really just as I mentioned before, unit sales growth driven by customer's desire to take market share and that's been very, very helpful for us in Q3.
Reuben Garner: Okay. So this is a continuation. It wasn't anything – wasn't any additional wins or anything?
Matthew Missad: No.
Reuben Garner: Okay. Can you remind us what you told us about Deckorators size wise where it is today as a part of your retail business and where you think they could be over the next…?
Matthew Missad: Yes. I let, Mike give you the precise number for that.
Michael Cole: Yes. These figures that we've recently won I would expect Deckorators decking and railing to be in the 160 million to 170 million run rate, annual run rate.
Reuben Garner: Okay. That's all from me guys. Thank you.
Michael Cole: You bet. Thank you.
Operator: Thank you. I'm showing no further questions in the queue at this time. I would now like to turn the call back over to management for any closing remarks.
Matthew Missad: Thank you. As you can tell, I'm excited about our team's exceptional performance. Their hard work and extra effort has put us in a position to win our version of the World Series. As for the Nationals and Astros we wish them both well. But current and former Tiger's fans can take solace in the fact that no matter which team wins they will have a former Tiger to thank for it. Thank you for your investment and trust in us. And thank you for your time today. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.